Operator: Good morning. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Hexcel Third Quarter 2021 Earnings Call. At this time, all lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] It’s now my pleasure to turn the call over to Patrick Winterlich, Chief Financial Officer. Sir, please go ahead.
Patrick Winterlich: Thank you. Good morning, everyone. Welcome to Hexcel Corporation’s third quarter 2021 earnings conference call. Before beginning, let me cover the formalities. I want to remind everyone about the Safe Harbor provisions related to any forward-looking statements we may make during the course of this call. Certain statements contained in this call may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. They involve estimates, assumptions, judgments and uncertainties caused by a variety of factors that could cause future actual results or outcomes to differ materially from our forward-looking statements today. Such factors are detailed in the Company’s SEC filings and last night’s news release. A replay of this call will be available on the Investor Relations page of our website. Lastly, this call is being recorded by Hexcel Corporation and is copyrighted material. It cannot be recorded or rebroadcast without our express permission. Your participation on this call constitutes your consent to that request. With me today are Nick Stanage, our Chairman, CEO and President; and Kurt Goddard, our Vice President of Investor Relations. The purpose of the call is to review our third quarter 2021 results, detailed in our news release, issued yesterday. Now, let me turn the call over to Nick.
Nick Stanage: Thanks, Patrick. Good morning, everyone. And thank you for joining us today as we share our third quarter results and look ahead to year end. The results we shared in our news release last night, reflected strong earnings performance as sales recover and our margin expands as a direct result of the decisive actions we took to realign our cost base early in the pandemic, along with our continued focus on improving productivity through operational excellence. With our restructuring now behind us, we have never been leaner, more focused, or better aligned to take advantage of the demand for lightweight advanced composite products than we are today. With customer destocking essentially complete, we remain confident that build rates will steadily increase to meet pent-up demand for air travel as well as the need to replace aging aircraft with more fuel efficient, lower emissions aircraft made possible by the advanced material solutions that Hexcel has to offer. We’re closely monitoring the continued effects of the pandemic on our business, including supply chain constraints, inflationary pressures and a competitive market for talent. Our supply chain is experiencing some tightness and our team is focused and working hard to ensure the continued availability of raw materials to meet our customers’ growing demand. We are not immune to inflationary pressures, such as the rising cost of energy and freight. However, at this point in time, we have not experienced any meaningful impacts to our costs, in part, thanks to our long-term supply contracts and commodity hedging. Yet we must remain vigilant. Historically, we’ve offset inflation through productivity initiatives to improve efficiency and I can assure you, all our plants will have robust productivity goals built into their plans for 2022 and beyond, no different than years past. After reducing our headcount by approximately 35% over the past 18 months, we are now rehiring as we bring idled assets back on line to meet new and increasing demand, especially for carbon fiber. Like many others, we are finding the talent pools to be tighter than they were pre-pandemic, yet still we have made exciting new additions to our team over the past quarter. And I am confident that we will continue attracting the best, the brightest, the most diverse and the most talented workforce available. There are many encouraging signs that lead us to believe that a sustained return to growth is now taking place. As you know, for example, the U.S. is expected to lift its international travel ban in November, and that is great news since international travel has been muted for so many months. We’re seeing strong improvement in aircraft orders around the globe. Airlines are recovering, with many receiving new planes and more importantly, refreshing their fleets with most fuel and emissions efficient aircraft, which means composite-rich platforms. Now, let me highlight some of the results from this quarter. Overall, sales in the third quarter of 2021 were $334 million compared to $287 million in the third quarter of 2020. Aerospace sales of $167 million represents an increase of almost 30% compared to the third quarter of last year as a result of stronger narrowbody demand. We believe the A350 destocking generally concluded during the third quarter and after three successive quarters of increasing business jet sales, we think that business jet destocking is also now largely behind us. In July, Airbus launched the A350 freighter with a scheduled entry into service in 2025. It will be the first composite-rich freighter in the market, and because of its fuel-efficient profile, it will comply with the tightening aircraft emission standards that take effect later this decade. Lightweight composites helped enable the value proposition, and additional A350 production volume will obviously be beneficial for Hexcel, whether passenger or freighter configurations. Sales to other commercial aerospace, such as regional and business aircraft were up over 9% compared to third quarter 2020. The business jet market, where we have great positions, particularly on new composite-rich large cabin aircraft, continues to demonstrate a positive trend. Turning to Space & Defense, sales were more than $110 million, which represents a 1.5% increase over 2020. We have content on hundreds of programs in Space & Defense, including significant advanced composite content on both, the Lockheed Martin F-35 and Sikorsky CH-53K, and we anticipate winning additional incremental work to help boost future sales. Industrial sales were about $56 million during the quarter, which was roughly a 12% increase in constant currency. We’re seeing strength return to several industrial submarkets, including winter sports and recreation equipment. Our automotive business remains strong, even considering the chip shortage impacting that industry. Hexcel has also benefited from new sales as we allocate carbon fiber capacity to other industrial markets. Wind energy sales, which is the largest submarket in Industrial, declined more than 31% in constant currency compared to third quarter 2020, which reflects ongoing softer demand as well as the closure of our wind blade material plant in the U.S. about a year ago. Before I turn it over to Patrick, let me share some highlights from the quarter. In September, we announced an expansion at our engineered core facility in Morocco. We expect to double the size of the plant by early 2023 to meet continued and increasing demand for lightweight honeycomb materials for engineered core parts for aircraft, engine nacelles and helicopter blades. You’ll recall that we celebrated the grand opening of our plant in Casablanca in 2018. So, in just three years, with at least half of that time spent navigating the effects of a global pandemic, we are realizing strong demand growth for our composites in the region. Just last week, we were joined by several of our customers and local government officials in Salt Lake City for a groundbreaking at what will become our newest center of research and technology excellence. We announced plans to build the center back in May, and we remain on track for completion in late 2022. It will be our largest center for innovation and product development in North America and a flagship for our advanced composites technology, with space for future growth and expansions in the years ahead. Our additive thermal plastic manufacturing capabilities are now certified by both, Airbus and Boeing for commercial aircraft applications. In September, we announced that we have been awarded a multiyear contract to produce aerospace structures using this technology for the Boeing 777X. And finally, we had a couple of terrific recognition from customers. We were awarded the Success Partner award for our efforts to deliver outstanding product quality on time to Spirit AeroSystems. And our Salt Lake City operations were recognized by Blue Origin for our contributions towards helping them achieve their first human flight aboard the New Shepard. Now, I’ll turn it over to Patrick to provide more details on the numbers.
Patrick Winterlich: Thank you, Nick. As a reminder, the year-over-year comparisons are in constant currency. The majority of our sales are denominated in dollars. However, our cost base is a mix of dollars, euros and British pounds as we have a significant manufacturing presence in Europe. As a result, when the dollar strengthens against the euro and the pound, our sales translate lower, while our costs translate lower, leading to a net benefit to our margins. Conversely, a weak dollar is a headwind to our financial results. We hedge this currency exposure over a 10-quarter horizon to protect our operating income. Turning to our three markets, Commercial Aerospace represented approximately 50% of third quarter sales. Third quarter Commercial Aerospace sales of $167.2 million increased 29.8% compared to the third quarter of 2020, led by narrowbody sales, as narrowbody destocking concluded last quarter and Airbus is increasing the production rate on the A320 family. For widebodies, the A350 destocking was generally finished by the end of the third quarter, consistent with our communications during our last earnings call. Destocking for the 787 will be extended, though we are not in a position to estimate the time frame. Space & Defense represented 33% of third quarter sales and totaled $110.4 million, increasing 1.4% from the same period in 2020. We witnessed strength in fixed-wing aircraft, including the F-35 and unmanned aerial vehicles as well as commercial helicopters in the CH-53K. Regionally, Europe was strong, partially offset by some softness in Asia Pacific. Industrial comprised of 17% of third quarter 2021 sales. Industrial sales totaled $56.2 million, increasing 11.7% compared to the third quarter of 2020. We are continuing to experience subdued wind demand, with wind energy representing approximately 40% of third quarter Industrial sales. Recall that our Industrial business uses both carbon and glass fibers. We purchase glass fiber from third parties for applications such as wind turbine blades, and our aerospace grade carbon fiber is sold for technology-driven industrial applications. Our Industrials team is now selling carbon fiber to several new customers, utilizing available capacity for high-performance applications. On a consolidated basis, gross margin for the third quarter was 19.8% compared to 4.7% in the third quarter of 2020. The strengthening gross margin benefited in the quarter from a strong fiber-rich sales mix, leveraged against our reduced overhead cost base. To share some perspective on mix, our manufacturing processes obviously differ, whether we are producing honeycomb, carbon fiber or engineered products. For carbon fiber, our manufacturing value chain begins with the production of precursor, which is then carbonized. We then weave the carbon fiber or arrange the fibers in a unidirectional orientation and at one of our many proprietary resin formulations in a process called prepregging. As we begin to grow again, the impact of ramping and producing the carbon fiber is more pronounced as that is the highest margin portion of our product line. We expect relatively more weaving and prepregging activity going forward compared to the last two quarters, which is why our margin recovery will not always be a perfectly smooth quarterly progression. As Nick commented, we did not experience any meaningful inflationary cost pressures during the third quarter. However, we are not immune to cost challenges and supply chain pressures. Our team is focused and working hard to ensure the availability and delivery of raw materials on time for our production requirements. Our largest raw material purchases, including resins and fibers, are typically under long-term contracts, and industrial resins typically have pass-through mechanisms. We hedge our acrylonitrile purposes, which layers in cost changes over time. We have long-term contracts for power and natural gas at many of our sites. And specifically, our European natural gas needs are locked in for a period of time, a lot of which was done before the recent price spike. There will likely be additional cost pressures over time with certain raw materials, including aluminum, though at this point in time, I would characterize the anticipated impact as being modest relative to our total cost base. And as a reminder, the flip side to higher oil prices is that it drives the aircraft fleet replacement, which supports our top line growth over time. As a percentage of sales, selling, general and administrative expenses and R&D expenses increased to 12.7% in the current quarter compared to 12.3% in the third quarter of 2020. Recall that last year, we had implemented temporary compensation and benefit reductions as part of our cost control actions. Adjusted operating income in the third quarter was $23.6 million, reflecting strong variable margin performance and robust cost control. The year-over-year impact of exchange rates in the third quarter was favorable by approximately 100 basis points. Now turning to our two segments. The composite materials segment represented 76% of total sales and generated an 11.1% operating margin, strengthening on sales mix and top line growth. The operating margin in the comparable prior year period was negative. The Engineered Products segment, which is comprised of our structures and engineered core businesses, represented 24% of total sales and generated an 8.1% operating margin. Again, the operating margin in the comparable prior year period was negative. The effective tax rate for the third quarter of 2021 was 38.3%. The pandemic and consequent mix of results across the countries in which we operate is expected to continue to impact the Company’s overall effective tax rate throughout 2021. Net cash generated by operating activities was $64.2 million year-to-date. Working capital was a use of $46 million year-to-date. We believe this level of working capital growth is appropriate to support our forecasted sales growth. We managed our working capital by considering number of days. And the quarterly days sales and days payable outstanding has been consistent each quarter in 2021. Inventory has seen some growth as we prepare for increasing OEM aircraft production rates in 2022. Capital expenditures on an accrual basis was $6.5 million in the third quarter of 2021 and $14.3 million year-to-date. This compares to $39.4 million through the nine months ended September 30, 2020. Capital expenditures continue to be tightly managed with a focus on improving existing asset efficiency and new technology advancements. Free cash flow for the third quarter of 2021 was $19.5 million and is $49.2 million year-to-date through the end of the third quarter. This compares to $109.2 million generated through the first nine months of 2020, which was supported with large reductions in working capital. In summary, expanding profitability and tightly controlled capital expenditures are supporting free cash flow generation in 2021, despite some modest working capital increases to support growing sales. Our liquidity remains well above the bank covenant minimum of $250 million, and we have no near-term debt maturities. I’m confident that we will continue to meet this minimum liquidity covenant and confident that we are well positioned to meet the pre-pandemic leverage coverage ratio when the revolver covenants revert back to the original facility agreement terms in mid-2022. Our share repurchase program is restricted through March 31, 2022, by the revolver amendment executed in January ‘21. Dividends also remain suspended at the current time. Our Board continues to regularly evaluate capital allocation priorities. As our earnings release states, we’re not providing financial guidance at this time. However, I have previously provided some framework around 2021 financial expectations and which I will briefly reconfirm. Market consensus revenue is generally reasonable, though be mindful of specific program pressures. The year-to-date adjusted operating margin percentage is now a reasonable proxy of our expectations for the full year. Capital expenditures in 2021 will continue to be tightly managed and are expected to be at a similar level to 2020 or just below. We expect to continue to generate positive free cash flow during the remainder of 2021 and further reduce debt levels. We expect the effective tax rate to be approximately 23%. With that, let me turn the call back to Nick.
Nick Stanage: Thanks, Patrick. Over the past several months, we have been adjusting and making tough business decisions to position ourselves for growth as the effects from the pandemic begin to lessen. While it is going to take a number of years before we return to pre-pandemic revenue levels, our fundamentals remain unchanged. We have leading positions on the world’s largest programs with our advanced composite technology and the broadest portfolio in our industry. We continue to generate cash flow and further strengthen our balance sheet. The great job our team has done to strengthen our foundation over the past decade put us in a strong position that has allowed us, not only to weather the storm, but to come through it stronger than ever. It goes without saying, our markets remain uncertain. Even though we’re seeing positive signs, we need to be cautious and stay extremely focused on cost control and cash management. Our team is also laser-focused on staying on top of our raw material supply chain to minimize any potential production impacts. We closely monitor on-time delivery and quality, and our customer ratings regarding these two key performance metrics remain very high, despite the challenges imposed by the pandemic. Most importantly, we are staying close to our customers to ensure that we are aligned with changing demand. We remain confident in a continued aerospace recovery, which is supported by growing OEM backlogs and production rate increase announcements that should support strong growth in 2022, 2023 and thereafter. We have refocused, restructured and drawn on our resiliency to ensure that we continue to deliver exceptional value to our customers and is only going to continue. Global demand for lighter weight, stronger and more durable materials in all of our markets will grow, and our broad and expanding technology portfolio remains unrivaled in our industry. In addition, we have an exceptionally talented, diversified and experienced advanced composite material science workforce. We anticipate strong pull for our entire portfolio for many years to come. Our team remains energized and focused on our priorities, including innovation, generating and tightly managing cash and further strengthening our already strong balance sheet, and controlling costs, while at the same time, positioning ourselves for the demand recovery ahead. We’re aligned and positioned to deliver strong incremental margins and long-term shareholder value. With that, Brent, we’re now ready to take questions.
Operator: [Operator Instructions] Your first question comes from the line of Sheila Kahyaoglu with Jefferies. Your line is open.
Sheila Kahyaoglu: Good morning, Nick and Patrick. And thank you. I guess, Nick and Patrick, you both talked about inflationary pressures in the industry. Can you give us a split of raw materials and labor, and what percentage of your raw materials you’ve hedged? And just a follow-up to that, Patrick, I want to clarify what you said. I think you said operating margins in the quarter could be a proxy for the full year, but I might have misheard it. So, if you could just clarify that.
Patrick Winterlich: So just to clarify that firstly, I’m really saying the year-to-date 4.6% adjusted operating income is sort of roughly a proxy. I mean, it’s not an exact science, and I’m not giving you an exact number, but there or thereabouts for the full year, not the quarterly number, the year-to-date number. In terms of raw materials, I mean, I’m not going to be exact and specific. Acrylonitrile is the one commodity we hedge. We hedge it over eight quarters. We actually buy propylene as a proxy because that through a formula drives what we pay for acrylonitrile. And what that does over time is it takes away the peaks and troughs of any price movement. It will go up, it will go down, but it has a good smoothing effect for us. Our key aerospace resins are perhaps the most obvious thing, and that is our largest single third-party purchase. We have long-term contracts to buy those. And so, we do get protection. What we’re really talking about is freight, energy costs and some of our smaller raw materials, where we don’t have the same long-term contracts. We are going to see some inflationary pressure. And undoubtedly, around labor, at some point, there will also be pressures. But within the total cost base, we’re confident to keep it under control. And as Nick talked about, through efficiencies and productivity drives that we put in place every year, we will do our best to mitigate it as much as we can. But, we’re not immune. We don’t want anyone to sort of accuse us of saying we’re not going to feel any effect, but we are going to do our very best to minimize that effect, and we’re confident to do that.
Operator: Your next question comes from the line of David Strauss with Barclays. Your line is open.
David Strauss: Nick, you touched on the growth that you’re expecting next year. I wanted to see if you want to comment at all on what you’re thinking relative to where the 2022 revenue consensus is, which looks like it implies about 35% to 40% growth in your Commercial Aero business?
Nick Stanage: Yes, David. So, we’re in the process of rolling up the plan. We are optimistic. Looking at narrowbodies, what our customers have stated, they’re growing their rates too, over the course of 2022 and beyond. The fact that destocking is behind us on the A350, the narrowbody, the business jet, that’s going to be a tailwind for us going into 2022. So, I don’t want to get ahead. I think consensus 2022 estimate isn’t wildly out of line. So, I look forward to providing guidance when we report in Q4, report our full year results, which is our intent in January. But we’re excited with the strong growth that we’re seeing as of today.
David Strauss: Okay. Thanks for that. And Patrick, you mentioned a little bit of a working capital drag. Obviously, I would assume as revenue starts to come back, your CapEx is going to increase. You’ve given us rough guidance about -- thinking about the EBIT margin progression from here. So, when you kind of get to an EBITDA number looking out over the next couple of years, at what level do you think you can revert EBITDA into free cash flow, given the working capital drag and higher CapEx from here?
Patrick Winterlich: Yes. I mean, our CapEx is going to remain subdued for some time, I mean, multiple years. We’re probably going to creep up back towards what we saw historically at the maintenance level, but our need for large-scale capacity spend is some years away. I mean, we’re really going to grow back into the existing plant and equipment we have. So, based on that, I mean, we need top line growth, that will pull up, obviously, our bottom line. That will drive our EBITDA. And for a period of time, we should see very good cash conversion. I don’t want to get into forecast and specifics today, but with that ongoing reduced level of capital expenditure, we’re going to have a period of, yes, very good cash conversion, which I think is your underlying point, which I would agree with.
David Strauss: And can you just remind us the maintenance level of CapEx?
Patrick Winterlich: We’ve always historically talked about $60 million to $70 million. And so, it’s not an exact science, but it’s in that range.
Nick Stanage: And that’s when we’re running near full capacity.
Patrick Winterlich: Correct.
Operator: Your next question comes from Paretosh Misra with Berenberg. Your line is open.
Paretosh Misra: Can you just remind me what your sales mix is typically in terms of carbon fiber versus honeycomb? And I think you mentioned that mix has been different in recent quarters. So, just any sense as to what it has been more recently?
Patrick Winterlich: Yes. Paretosh, we don’t disclose sort of our individual product line sales. Obviously, the sales we disclose are by market and we sort of build rates and ship sets give you some of the key programs. I mean, carbon fiber is either sold directly to third parties or we use more of it, we use two-thirds or more of what we produce internally, and it gets pulled through woven fabrics or prepregs. What I’ll say and what we’ve been, I guess, trying to say the last couple of quarters is that that’s at the beginning of the supply chain process that we have, and it’s been sort of perhaps disproportionately weighted towards more carbon fiber over time now in front of us, and it will be a bit lumpy. We’re going to see the woven products, the prepreg products grow. And so, there’ll be a small dilution. It’s still all aerospace. It’s still good quality margin but that’s sort of almost exceptional weighting towards carbon fiber, will dilute a little bit. But carbon fiber is growing. We’ve seen two or three really nice quarters of growth. It’s come back probably a little bit faster than we had expected, and we hope to see that continue, especially as our team are also doing a good job allocating some of the capacity to industrial sales for personal electronics, recreation, oil and gas applications, which is also great for covering overhead.
Paretosh Misra: And then, just to follow up on your share buyback program, when is the earliest that you can restart your share buyback? Is it the second quarter next year, or could that be sooner?
Patrick Winterlich: Yes. Well, unless we were to sort of renegotiate our way out of the agreement, which I don’t expect us to do, we will come out on the first of April next year. Now, that doesn’t mean we will jump straight back into it, but the option is technically open to us, and we will be reviewing our capital allocation as we are now going through next year.
Operator: Your next question comes from the line of Pete Skibitski with Alembic. Your line is open.
Pete Skibitski: Hey. Good morning, guys. Nice quarter. It’s good to see the return to growth.
Nick Stanage: Thanks, Pete.
Pete Skibitski: So, I was particularly surprised about the growth in the industrial markets, just with Patrick what -- and Nick, what you talked about with the Colorado shutdown, not annualizing yet and the automotive hiccups out there. So, can you give us some more color? Is recreation that big now that it can just kind of help drive things on its own? And is it reasonable to think maybe as you get to kind of out of the middle of 2022 when Colorado is annualized and hopefully, we’re past the problems with semiconductors and automotive, is it reasonable for us to think that Industrial can grow pretty strongly in the double digits when things are kind of evened out?
Patrick Winterlich: So, what I would say is, I mean, wind obviously was -- I mean, if I can start with wind, which is kind of the weaker part in a way, that has obviously deteriorated, that has softened. The market is softer in front of us and we closed the U.S. plant. So, that does weigh us down, as you’re seeing in the headline numbers. But, what we’re very positive about, and thank you for recognizing it, is we have seen good automotive sales. We have seen good recreation sales. And we’re seeing these other new industrial markets open up. Now, none of them at the moment are as large as wind but they’re growing. And we see the -- we’re sort of looking and pushing towards these value-add applications and opportunities in industrial, it’s utilizing our capacity and we’re going to continue to push it strongly. And if I look further out, you’ve got EVs, you’ve got the development of battery technologies, you’ve got potentially storage tanks. And so, we’re excited. It’s not going to happen overnight, but those are opportunities in the next several years that we’re going to pursue.
Pete Skibitski: Okay. You’re expecting a little more headwind in like Europe wind and China wind next year? Is that a good assumption?
Patrick Winterlich: Well, I don’t want to get into specifics. I mean, we’ve called China wind out as a watched item, and I think that’s how I would term it today. I think Europe wind will be reasonably steady, perhaps with some small headwind there as well.
Operator: Your next question comes from the line of Richard Safran with Seaport Partners. Your line is open.
Richard Safran: So, Nick, you clearly had some real success here with the $150 million cost takeout this year. I was just wondering how you think you might top that? How much runway you have left for additional cost reduction next year, or is it that you’re just thinking now you have an optimal cost structure based on the volumes you see ahead?
Nick Stanage: Yes. So, anybody in ops is always driving for productivity improvements, and we’re no different. I was excited during my U.S. tour and visiting all the sites and looking at the automation initiatives, looking at the plant throughput initiatives. And again, just a reminder, when we have so many common lines across the business, when we develop an improvement, it’s very easy to replicate and translate that into further productivity. So, I’m very proud of what the team has done. We responded very quickly. We attacked the challenge and rightsized our cost structure. We’re going to be very careful as we grow to take advantage of the processes, the systems, the automation that we put in place. And I along with Patrick and the team are excited about the leverage we’re going to yield and how we’re going to get back well into double-digit op income earnings as we’ve seen in past and even higher.
Richard Safran: Now, just as a quick follow-up, in your remarks about the A350 freighter, since that was an incremental opportunity for Hexcel, I was just wondering if the 777X freighter that Boeing is now talking about also represents an incremental opportunity for you?
Nick Stanage: So, it would. We don’t expect the shipset content on the freighter versus the passenger versions to be wildly different. So, as you know, we have much more content on the A350. But, the 777, while it’s not as composite-intensive as an A350, it certainly has efficiency improvements that I think the market would welcome. And any kind -- any and all widebody rate drivers are good for Hexcel.
Operator: Your next question comes from the line of John McNulty with BMO Capital Markets. Your line is open.
John McNulty: I guess, the first one would just be on the industrial applications that you found or the newer applications. Do you view these as longstanding opportunities that -- where the market’s finally opened up for you, or do you view them more as kind of placeholders while you’re waiting for some of the aerospace side to come back to the market or so?
Nick Stanage: So, I’ll take this and Patrick can add too. But, one of the positives coming out of the pandemic is we had time to take a step back, reevaluate certain markets, certain areas that we may want to pursue. And with available capacity, it allowed our teams to go in and go after niche performance-related industrial applications. So, we -- when we go into this, we went in with the thinking that these are sustainable areas of the industrial market that we intend to continue to serve and grow.
John McNulty: Got it. Fair enough. And then, I guess, maybe to that angle, just given the increased push that we’re seeing kind of daily from an ESG perspective, are there new opportunities that are opening up from that angle, whether it’s for more lightweighting or for different energy storage uses, et cetera, that maybe you can speak to where, whatever, three, five years ago, they weren’t even on the radar screen where they now are really opening up? Are there opportunities that we should be thinking about from that angle?
Nick Stanage: It’s a huge topic and there’s tremendous opportunities. And if you really look, it will be an evolution to get to a carbon zero footprint, which people are talking out in 2050. We’re talking about more efficient fuels. But, if you really think of what the short-term, medium-term enabler is, it’s lightweighting. Lightweighting, composite structures, aircraft, more efficient engines, that’s step number one. So we’re seeing significant opportunities on the sustainability front. And I would just be remiss if I didn’t mention, we work sustainability every day, we have going back for many, many years. We reissued our sustainability road map in 2017. So, we recognize that this was a real opportunity. It’s being adopted at different levels, based on the region, but it is going to be here and continue to gain traction, visibility and priority going forward. So, it’s a great enabler. It’s a great opportunity for Hexcel and lightweight materials.
Operator: Your next question comes from the line of Gautam Khanna with Cowen. Your line is open.
Gautam Khanna: Patrick, I just wanted to follow up on your directional guidance on margins next year. With that type of sales increase, why shouldn’t margins improve off the year-to-date level? It just seems like you’ll have the leverage, you’ll have...
Patrick Winterlich: I got the mic, I -- maybe I misled, but certainly it’s not what I’ve said. I was only referring to 2021. I’m not -- I didn’t talk in any way to 2022. My reference was to how we were going to close out 2021, which would be roughly around the year-to-date 2021 op income, adjusted op income percentage. I made no reference to ‘22. We will talk about ‘22 in January. But obviously, with strong sales growth, we’re hoping and expecting to leverage strong bottom line growth, too.
Gautam Khanna: Okay. That helps. Maybe I misheard that. And then just as we talk about next year, are there any remaining programmatic headwinds? I mean, destocking is over or hopefully, 787 is a risk, I don’t know, F-35, is there anything from where you sit today where you see would actually be declining?
Nick Stanage: There’s always the unknown, but based on what we see today, based on -- if you look at the Space & Defense segment with projections from Lockheed on the F-35, with the growth rate we’re seeing on CH-53K, when you look at the diversity of the product offerings and the new platforms we’re winning on, there’s no surprise in that segment. I’m encouraged with what our team has done in industrial, especially given the softness in wind and the ability to offset with nice margin business in the subsegments in the industrial. And then I think you hit the nail on the head with the commercial aerospace. It’s really around China certification for the MAX and what will MAX rates do over the course of 2022. And what will happen with the 787, with respect to some of the recent issues and the idling of the production build, which I do have to point out the 787 was a large headwind for our top line in the third quarter. If you remember, Boeing really slowed down their line, they adjusted the supply chain, the demand to the supply chain significantly dropped, and that’s a function of them working on the issues to retrofit and get those corrected to get back up to their rate 5 and then beyond. So, other than that, I think we’re well positioned and very excited about the opportunities we’re seeing and the pull on our products.
Operator: Your next question comes from the line of Myles Walton with UBS. Your line is open.
Myles Walton: Maybe a follow-up to David and Gautam’s question a little bit, does engineered products as a segment face more material headwinds because of the Kent relocation of work, or maybe I have that note incorrect, but thought it was a 2022 clip over. And I don’t really have the size of that headwind, if at all.
Patrick Winterlich: So, if you like, it’s a revenue adjustment, which we flagged up some time ago with those sales transferring out of our Kent facility into the joint venture that we own 50% with Boeing today based in Malaysia. So, that work will transfer. You are correct. That transfer essentially takes place at the end of this year and then those sales move into the JV, from which we derive 50% of the earnings. In terms of a material headwind, I mean, I wasn’t quite sure. I mean, it’s a revenue adjustment. It obviously reduces the material that we sell on those programs that are transferred, we’ve worked through it. And I think with the pandemic, in some ways, it’s kind of going to smooth, soften that adjustment, but there is a specific. Even though we’re going to grow strongly into 2022 within that, there will be a step down out of that Kent, Washington facility.
Myles Walton: Okay. And then, maybe a clarification, in the Q, you mentioned a $20 million grant from the American Jobs Act. I think half of that comes through the fourth quarter. Would that just be a onetime exclusion and no impact to the margin trajectory you were talking about, Patrick?
Patrick Winterlich: Exactly, Myles. It will come through the first half, roughly will come through in the fourth quarter this year, and we probably will see the second half, maybe in the second quarter next year, I would expect at the end of the six-month period. It is tax deductible. But, you’re right, it will go through non-operating income and we will adjust it out. Obviously, it will be a cash benefit.
Operator: Your next question comes from Pete Osterland with Truist Securities. Your line is open.
Pete Osterland: This is Pete on for Mike Ciarmoli this morning. Thanks for taking our question this morning. Firstly, just a question on raw materials, how much ability do you have to pass through increased raw material costs in your pricing? And how does this vary across your different end markets?
Patrick Winterlich: It varies -- well, it varies quite a lot, I guess, in truth. And our industrial markets, if I start there, some of our larger contracts, we have a pretty good pass-through mechanism, the base chemical, base industrial chemicals, there may be a quarterly lag, but we can pass those through. In aerospace, our protection, our mitigation is really through our own long-term sourcing contracts and our hedging on the acrylonitrile. We do have some of our commercial contracts with sort of escalators around oil price and some other commodities, which do kick in, but they tend to be fairly wide sort of corridors, ceilings and floors. So industrial, pretty readily pass through. On the aerospace side, it’s more about the protection that we put in place through our long-term sourcing and hedging contracts.
Pete Osterland: Okay. Thanks. That’s helpful. And then, just a follow-up on margins. Are there any significant price or margin differences that you’re expecting as a result of repurposing your capacity for industrial products, or do you expect that the margins you’re able to realize are consistent with the aerospace applications that you repurpose over some?
Patrick Winterlich: Well, I think the reality is the industrial markets are not as strong or margin intensive as the aerospace markets, but it’s still good. It’s not commodity carbon fiber or industrial grade carbon fiber margins. There stood good solid margins that justify us using the capacity in that direction. But I would have to say, it’s not as strong as aerospace, simply because the qualifications, the specification, more on premium, the cost to serve is different, exactly.
Operator: Your next question comes from the line of Noah Poponak with Goldman Sachs. Your line is open.
Noah Poponak: I was wondering if we might go back to 787 and the MAX, and if you could spend a little more time on your take on what’s happening there? What’s your take on the latest quality revelations on the 787, and how long until you’re delivering back to Boeing’s stated rate there? And then, on the MAX, what’s your take on why the delivery rate there is slower than we would have thought, based on their production rate targets and inventory unwind?
Nick Stanage: So, I’ll start with narrowbodies in general and just reflect on the huge backlogs and the ability for airlines to get aircraft that they want and they need. So, obviously, you see what Airbus is doing with the 320. I think there’s significant demand for the 737 MAX. I think, if you look at the flights that have been taken and the slope of the curve on how it’s being brought back into service is fantastic and a signal of the product. I think, the big question on the MAX again is around certification in China, because it drives a pretty meaningful portion of the backlog. And I don’t have a crystal ball that can give you anything more than you can read. So, again, I think if you look at where Boeing is today and where they’re planning to go, it’s going to be a nice step-up on rates. Without China, with China, it will accelerate. Switching to the 787, unfortunately, there’s been a couple of issues. There’s one that just recently came about. We’re keeping abreast of that. We’re staying close to Boeing to make sure we’re aligned with them on the demand and the volume adjustments. So, again, it’s too early for us to make any predictions. I would recommend you listen to Boeing’s call on I think next week and see what they have to say on their plan to get back to 5-plus.
Noah Poponak: Okay. So, I hear all your points there, Nick, on the narrowbody market and the MAX in terms of where the backlog is. We see the new orders coming in. It doesn’t seem like there’s any major challenge with the airplane, but the delivery rate just doesn’t add up to that. It sounds like you don’t see any showstopper and it’s more of a logistical issue at the moment.
Nick Stanage: I think, it’s making sure the supply chain is fully prepared. As you know, these supply chains are quite complex, and it only takes one sole-source component or supplier to hold it up. So, I think both the big OEs are being sensitive and practical on how they’re going to grow their rates on narrowbodies and/or widebodies. So, we’ve seen that. And that’s what we expect to see going forward. But we don’t see an issue. And certainly, Hexcel is ready and prepared.
Noah Poponak: Just one other one, Patrick. In order to have the full year 2021 adjusted operating margin equal the first nine months, it would need to be down in the fourth quarter on your projection of higher revenue. So, why would that be the case?
Patrick Winterlich: Because I didn’t give you an exact number. I’m just saying it’s a reasonable proxy. Maybe we’ll be a bit above it, maybe we can get to mid-single digits. It’s not -- I mean, I didn’t say exactly. I understand the math. Your point is correct.
Operator: Your next question comes from the line of Mike Sison with Wells Fargo. Your line is open.
Richard Garchitorena: Hi. This is Richard on for Mike. First question is on the comment that the consensus for 2022 revenues is in line with what you’re thinking. Can you give us some color in terms of breakdown? Obviously, commercial is going to drive the bulk of that. But, do you see anything on the Space & Defense side that could lead to higher growth or conversely on the industrial side where you have some new applications, new customers that you’ve signed? Anything there that should drive higher than expected growth in those segments?
Patrick Winterlich: I mean, I don’t think so. I mean, I think the world is basically spelled out. I mean, Nick just talked to now about the narrowbody strengths. I think A320 family is going to be the sort of the foundational driver into next year. I think we are excited about the MAX and where that’s going to go, because it is going to accelerate at some point. The 350 just getting back to a steady state rate 5 beyond the destocking obviously makes a significant difference to us, given the shipset. And Boeing will work through the 787. So, Commercial Aerospace is the big driver year-over-year. No surprise there. I think the F-35 is going to end up a little bit softer than this year than we would have expected back in January. We know about 10 or so were pushed out into 2022. So, that growth should solid out. The CH-53K continues to grow, so, Space & Defense, low single-digit growth that we’ve talked to for some time. And we’re going to push industrial as hard as we can. We’ve alluded to some new customer opportunities. So, too early to give guidance or commentary. I mean, directionally, we recognize where Street consensus is. And as Nick said, it’s not crazy.
Richard Garchitorena: Okay, got it. And then, just a follow-up, in terms of your capacity, you talked about starting to hire some people to bring back some production. Where are you in terms of capacity utilization? And sort of where do you -- how do you see that cadence in terms of matching that growth over the next couple of years?
Patrick Winterlich: Yes. I mean, we’re going to still be growing back into existing capacity over the next couple of years. It’s going to be beyond that time frame that we’ll need to put in new plant and equipment. If you think we were at $2.3 billion, $2.4 billion coming into the pandemic, we’re obviously going to be driving sales up $1.6 billion, $1.8 billion, $2 billion over the next two, three years or so. We’ve got capacity to grow back into by and large. It varies across our plants. Fibers is coming back fast as we’ve talked to, but we still have capacity there for a period of time. And we’ve got weaving and prepregging and honeycomb capacity to grow into, engineered products is perhaps more direct labor driven. But across the board, we will increase direct labor pro rata essentially with our sales growth, building in as much efficiency and productivity as we can. So, I think the simple answer is growing back into capacity over the next couple of years is by and large, what you’re going to see.
Operator: Due to time constraints, your final question comes from the line of Hunter Keay with Wolfe Research. Your line is open.
Hunter Keay: Two for me. On the 787, just to be clear, you’re not having any issues producing or your suppliers aren’t? And can you quantify -- that’s a question. And then, can you quantify how much of a headwind it was in 3Q? You mentioned it was a big headwind, I think, Nick.
Nick Stanage: So, to answer your first question, we’re having no issues with our material, our supplier’s inability to supply 787 or any program. I would tell you, directionally, the 787 headwind was close to the gap we saw between consensus and our actual number.
Hunter Keay: And then, you mentioned some choppiness on the margin in the next year with the weaving and prepregging -- prepreg mix shifting around a little bit. I’m sorry. I wasn’t following that conversation. Can you just explain to me sort of fundamentally what’s happening there with that and -- yes. Thank you. Go ahead.
Patrick Winterlich: Not really choppiness, but just as the business grows back, different product lines are going to grow at slightly different rates. And so, we’ve seen the carbon fiber product line grow first, which we would expect and then we weave it or we prepreg it. And so, it’s just saying the product lines are going to -- there’s a large vertical integration in what we do and the chain starts with the carbon fiber. So, that gets moving first fastest and returning. We’ve seen some weaving and prepregging. And as we go forward, the weaving and the prepregging are going to keep sort of accelerating as perhaps the carbon fiber starts to slow down at some point, which you naturally expect. And we’re just going to return ultimately roughly to our pre-pandemic mix of production across our different production lines. That’s all we’re trying to say. You don’t immediately jump back into the production mix, pre-pandemic, post-pandemic. It will take a year or two to actually get back to that production mix.
Hunter Keay: I see. So, it’s just a normal sort of ramp?
Patrick Winterlich: Very much so, yes. Yes.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today’s conference call. You may now disconnect.